Operator: Good morning thank you for standing by and welcome to the Sodexo First Quarter 2020 Revenue’s Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, the 9th of January, 2020. I would now like to hand the conference over to the Sodexo team. Please go ahead.
Virginia Jeanson: Thank you. Good morning everyone. Welcome to our Q1 fiscal 2020 revenue’s call. On the call today are CEO, Denis Machuel and CFO, Marc Rolland. As usual, if you haven't already done so, the slides and press releases are available at sodexo.com. And you'll be able to access this call on our website for the next 12 months. The call is being recorded and may not be reproduced or transmitted without our consent. Please get back to Sarah and I at the IR team if you have any further questions after the call. I remind you that the next announcement will be the first half figures on April the 9th. And I now turn the call over to Denis.
Denis Machuel: Thank you, Virginia, and hello everyone good morning and Happy New Year on behalf of the whole Sodexo team to all of you. Thanks for joining this call and let’s start right way with the Slide number 4 where we describe the organic growth in Q1 that was indeed boosted by the 2019 Rugby World Cup. Our Q1 revenues grew by 7.1% and our Q1 organic growth was at 3.8%. The on-site organic growth was also 3.8% which is in-line with the previous quarter’s trend. Thanks to the 150 basis points contribution of the Rugby World Cup. As a result sales outside North America grew by 8.5%. However, North America is down 0.9% impacted by the healthcare contract losses that we saw in Q4 plus the large contract exits which started to come out of the figures during this Q1 quarter. Benefits & Rewards was up 4.2% with double-digit growth in Europe but with a slowdown in Latin America due to lower interest rates and a very competitive environment in Brazil. Let’s now focus few minutes on the Rugby World Cup. For the fifth time in a row through our dedicated subsidiary which is called Sports Travel & Hospitality, STH. We partnered with World Rugby in the organization of the 2019 World Cup. I’m very proud of our team who tackled technical challenges that was helping to ensure that Japan first hosting of the Rugby World Cup was memorable. We designed, we developed, we marketed all of the hospitalities services with international flights, domestic transport, catering, accommodation et cetera to create truly seamless and memorable experiences for sports fans in a country where the notion of global sports hospitality is relatively unknown. So we provided hospitality services at all 12 host stadiums across Japan including the flagship where there is hospitality pavilion. A temporary structure at the international Yokohama Stadium with 19 private suites for 600 people, a 700-seat restaurant that served 8,600 guests during the tournament. We provided innovative guest experiences such as Diamond Dinner Package, a formal sit-down dinner with live entertainment on evenings before key matches, and the Champions package where guests attend the final and the following night the black-tie World Rugby Awards. We provided and equally memorable experiences through its more simple fare. The premium seat package was an exciting and successful innovation for the 2019 Rugby World Cup created for the domestic market in Japan. Premium seat is targeted at entry level hospitality in stadiums with little or no physical capacity. So catering is provided in the form of a bento box and still providing Category A seats. A head of budget more than 130,000 official Rugby World Cup travel packages were sold in more than 100 countries as well as 60,000 hospitality packages. And the feedback has been outstanding from consumers, clients and sales agents alike. So despite the typhoons for which we were insured this has been a very successful event. And we have demonstrated what a successful event can be in Japan and significant interest has already been generated for the Olympic hospitality program in Tokyo this summer which we as you know are also creating, selling and delivering. So it’s a very good start as the Olympic’s project kicks off. I’d also like to talk about a large Benefits & Rewards contract renewal the Belgium’s service voucher. Sodexo has been responsible for managing the Belgium service voucher since 2008. In 2016, the system was regionalized effectively making it three separate systems which are now tendered separately and we are beginning to see original differences emerging. The service voucher provides registered users with the financial aid around €14 of a total cost of €23 for household services such as cleaning, shopping, transporting every people. This is a very technical contract servicing one in four households in Belgium or 1.2 active users which actively promotes declared improvements. All three regions Flanders, Brussels and Wallonia retendered in 2019 for the period 2020 to 2023. Brussels and Wallonia focused largely on maintaining the current systems at a reasonable price. While Flanders opted for a more fundamental improvement in user experience and we won each of these markets. The team opted to offer a full rethinking of the user experience. The informative website and user platforms were completely redeveloped from the ground up and rendered fully interactive. In addition, new applications have been developed specifically for Flanders, an online payment option is also provided. And the login is fully integrated in the Flemish citizen identity management system. Our strong position, our technical know-how and service delivery in this market has allowed to remain highly competitive and innovative in all three regions with very good current relations. We won the contract for four years in Brussels and two years with two further annual extension in Flanders and Wallonia. The total service voucher’s market represents in 2019 issue volume of about €3.1 billion. This finances the revenues of about 2,000 companies active exclusively in the voucher finance home services sector. These companies represent 161,000 employees and they represent one of the largest employment sectors in Belgium. So I’m very proud of the teams in Belgium. Let me now hand you over to Marc for the details in the first quarter revenues and I’ll come back on the action plans and the outlook.
Marc Rolland: Thank you, Denis and good morning everyone and my best wishes to all of you for prosperous 2020. So let us turn to Slide 8. Revenues came in €6.1 billion for the quarter up 7.1%. The currency impact was a positive 2% thanks to the dollar and the sterling. Scope changes accounted for 1.3% linked to the acquisition from last year. This gives us an organic growth of 3.8% in line with the Q4 performance of fiscal 2019. On-site was also up plus 3.8% and in line as well with Q4 of fiscal 2019 boosted by the Rugby World Cup which compensated for the expected weakness elsewhere. I remind you of what we said at the full year announcement that Q4 had benefited from better than expected summer works in education. The Paris tourism upside and a number of significant client negotiations. The underlying trend in Q1 was plus 2.3%. Benefits & Rewards was up 4.2%. Turning now to Slide 10, North America is down 0.9% impacted by contract losses and the exit of one very large contract in healthcare as well as a portfolio rationalization in Sports & Leisure. Europe is up 7.4% boosted by the Rugby World Cup. As a reminder all our large sporting events are managed through our specialist U.K. subsidiary and excluding the Rugby European organic growth was a solid 3.3%. Africa, Asia, Australia, Lat Am and Middle East were up double-digits at 10.3%. As a result on-site excluding North America is up plus 8.3% or 5.3% excluding the Rugby World Cup. Turning to Slide 11, Business & Administrations organic growth was up 9% on last year’s published figures. However, restated for the reallocation of some of the business between segment organic growth was plus 6.6%. You will find the full disclosure of the restatement in the appendix of this presentation. The main one concern some previously segmented countries in Europe and Asia which have now been brought together to reduce structure cost as part of our Fit for the Future program. So, there has been transfer of some healthcare and education business into Business & Administrations which is where all the non-segmented business is consolidated. We have provided you with the adjustments to be made for each quarter to the 2019 figures. These transfers obviously do not impact total on-site performance or geographic performance. So back to B&A, in North America organic growth was more or less flat at minus 0.2%. On the one hand growth was solid in Corporate Services and Government & Agencies helped by the ongoing improvement in the U.S. Marine contract as well as some good new business. This offset the weakness in Sports & Leisure due to the ongoing effect of the exit of some less profitable contract last year. In Sports & Leisure, the pipeline is currently being rebuilt. Energy & Resources was flat impacted by construction contract closures. In Europe, organic growth was 9%, boosted by the significant contribution of the Rugby World Cup, which is consolidated in the U.K. But excluding this, organic growth was plus 3%, slightly better than in Q3 and Q4 last year. Corporate Services was held by some new business. But this quarter was characterized by the very strong improvement in Government & Agencies, driven by higher comparable unit growth as well as a trend in Energy & Resources which is also much better since Q4. In Africa, Asia, Australia, Latin America, and the Middle East, organic growth was strong at 9.9%. Growth remains strong in Corporate Services driven by new business and comparable unit growth in both Asia and Latin America. E&R is also continuing to grow particularly in the mining sector. We are prudent for the next quarter given the situation in Chile where the protests continue. So far our people in installation are safe, but activity is impacted. And I just want to remind you that Chile accounts for 12% of B&A in Africa, Asia, Australia, Latin America, and the Middle East. In Health Care & Seniors, restated organic growth was down 2%. In North America, organic growth was minus 4.3%. This is due to the loss of several hospital contracts which has already impacted Q4 last year and the exit of one very large contract which started to impact this quarter. You can expect this trend to continue into the second and third quarter as new business signing are still slow. We are also working diligently on retention and while the teams are very focused, we remain prudent for the next 12 months. Senior has as improved slightly with some signings and solid growth selling. In Europe, organic growth was flat. Despite some good signature, the lack of new business opportunity in the segment and the resulting negative net new business in most country has impaired growth. On the other hand, same-site sales growth was good, particularly in Northern Europe. The pipeline is showing signs of improvement in France and the U.K. The growth in Africa, Asia, Australia, Latin America, and the Middle East remains very strong at 13.9% due to contract startups and solid same-site sales growth throughout the region but most particularly, Brazil, China, and India. Education organic growth was plus 3.1% with a very strong quarter in Europe and Asia and North America slightly positive as expected. Organic growth in North America was up 1.1%. As anticipated net new business is neutral and inflation is boosting comparable unit growth. And we have seen also higher milk count in schools. In Europe organic growth was plus 9.6% due to the ongoing positive effect of the Yvelines contract open in January 2019. However during this quarter, this was offset somewhat by one less day in France and a tougher comparable base in the U.K. after several major ramp ups in the previous year. Organic growth in Africa, Asia, Australia, Latin America, and the Middle East remains strong at 13.2% resulting from several new school and university contracts in China and Singapore and strong comparable unit growth in India. On the other hand Hong Kong has been severely impacted by the student demonstrations. Now let's move on to Benefits & Rewards services. As you have already seen, Benefits & Rewards organic growth this quarter slowed to 4.2%. This is due to 3.9% organic growth in the traditional employee benefits in line with issue volume up 3.5%. While Europe is still growing very strongly, Latin America has been affected by the activity in Brazil suffering from lower interest rates and a very competitive environment. Services diversification is up 5.3% and 18.9% excluding the incentive and recognition portfolio rationalization. This is due to strong growth in mobility and expenses as well as in health and wellness. In Europe, Asia, and USA organic growth in revenue was double-digit this quarter at 11.1% with steady growth in Western Europe and strong double-digit growth in Eastern Europe but also in Asia despite the comparative base in Q1 - strong and tough comparative base in Q1 last year. Sorry. Organic growth at minus 3.8% in Latin America was impacted by significant downturn in Brazil due to a much more competitive environment and also lower interest rates. The rest of the region continued to grow strongly. Operating revenues were solid at plus 5.2%. However, financial revenues were down minus 5.3% entirely due to the decline in interest rate in Brazil. Thanks for your attention. I now hand you back to Denis for the strategic agenda on the outlook.
Denis Machuel: Thank you, Marc. And now, let's just on - come back to the four pillars of our strategic agenda. As you know, every time on every quarterly announcement, I'd like to update you on some initiatives that we have. And here, we talk about the client and consumer centric pillar and present the new offer that we've designed and are been deploying. We launched it. We are deploying it in the Paris region. Enjoy response to the needs of certain types of clients in specific context. It's very innovative. We are selling it into buildings or individual workplaces which traditionally have never had a canteen. So, we are opening possibly new markets. Enjoy is for clients for whom attracting and retaining talent is important where cool and nomad working exists, and where communal spaces exist but where there is no room for a kitchen. Enjoy is for consumers that expect to eat healthy food and who work in a flexible manner. The Enjoy offer requires a small modular space. It includes an Enjoy officer, who will ensure that fresh seasonal and locally produced food is provided all day in a clean and friendly environment facilitated by the SoHappy app. The Enjoy officer can also provide concierge-type services. Importantly, the model uses a Sodexo kitchen in the vicinity for optimal cost and low carbon footprint. And of course, we have strict policies on waste management and recyclable disposables. We have currently 15 sites being deployed and many more on our roadmap. Now, on Slide 21, let me just reiterate that growth - so growth in Q1 was in line with expectations with a very successful Rugby World Cup in Japan offsetting the contract losses and exits in North American healthcare. For the year, North America remains challenging as the healthcare contract exit and losses fall out of revenues and with net new business being on the neutral in education. However, the contribution of the Rugby World Cup in the first quarter and the 2020 Summer Olympics in the fourth quarter for about 100 basis points combined with strong growth in the developing economies and steady progress in Europe should more than compensate. The group is continuing to identify additional fit-for-the-future initiatives to generate SG&A savings. This will complement operational productivity due to our enhanced discipline and the implementation of step. Our performance framework, these savings will continue to be reinvested in accelerating growth. So as a result, we are expecting the early organic revenue growth of around 4%, including the major sports event. Stable underlying operating profit margin for the year excluding the currency impact and any impact of IFRS 15 implementation, midterm Sodexo aims to deliver market leading profitable growth. Current group investments, activity mix, and geographic presence provide us with the opportunities to capture this growth. Sodexo is capable of accelerating organic growth over the years to come, while ensuring a sustainable and inclusive business model. And as organic growth increases, growth investments will be kept under control so that the effects of enhanced discipline and efficiency gains will feed margin expansion. So let me now open the call for your questions. Operator, can you please open the Q&A session?
Operator: [Operator Instructions] And your first question comes from the line of Jamie Rollo from Morgan Stanley. Please go ahead.
Jamie Rollo: Just a few questions please on North America, the comment on Sports & Leisure portfolio rationalization, is that just the same as the comments post the Centerplate deal or are there any new losses there? And on the healthcare losses, you said they started to come through in the first quarter. So, it would be helpful just to quantify please maybe the revenue loss in Q1 and then what that might be in Q2 annualized. I think it originally was a €200 million loss in total both for the big exit and the losses. And then finally in Europe, any signs of deterioration in the Corporate Services or B&A segment in terms of like-for-like volumes, please?
Denis Machuel: For first question on Sports & Leisure yes, it's indeed the same comments that we've done. We've looked at what has happened after the integration of Centerplate. We've concentrated on of course retaining the clients that we wanted to retain. We've done some portfolio cleanup that was necessary. So, it's absolutely in-line with what we said earlier. Concerning Europe, I think we still see solid situation in Europe in Corporate Services. We have still a reasonably good situation in the U.K., in France, Mediterranean. Southern Europe overall is solid, Eastern Europe as well. So, I think we’re, for the moment we’re quite happy with our performance in Europe for Corporate Services. Now, regarding healthcare, Marc.
Marc Rolland: Yes in healthcare, the large contract we are talking about was actually - came out of our revenue in, I think it was in October.
Denis Machuel: Yes.
Marc Rolland: So, we've had an impact which is I will say probably half a quarter impact in Q1 and it will be a full impact in Q2. So I think in Q1 the impact was around 15 million and it will be slightly more in Q2.
Jamie Rollo: One more if I may. I might be splitting hairs here, but looks like the rugby contribution beat your guidance but your full year guidance is still 4%. So is it fair to say that the guidance for underlying sales growth excluding sporting events is now perhaps a little below 3% or is that just too marginal to make a view?
Marc Rolland: The rugby number came up just a handful of millions above what we were expecting so it does not change the overall picture. We were - we had high expectation of the rugby and so, we’ve done the numbers in spite of the typhoon. That's why we're quite happy on the numbers, but it does not change globally the full picture for the year.
Operator: And your next question comes from the line of Vicky Stern from Barclays. Please go ahead.
Victoria Stern: I have a few questions. Firstly, just as we look into Q2 obviously you gave a color there on the impact of the healthcare losses across the course, but just a few other moving parts I think in Q2. Obviously the strikes in France, any comment on the magnitude of that impact. But also calendar, I think you've got a leap this year. Just, if you can sort of call out any moving features. And generally how should we think about the organic growth - underlying organic growth like sporting events progressing over the next few quarters? Secondly just on BRS, you sort of mentioned there the significant downturn in Brazil. Again, please just sort of flushing that out a little and the outlook there do you think you can still do within the 5% to 10% sort of long-term guidance for organic growth Benefits & Rewards? And then finally, I know, obviously, you don't give quarterly figures for retention and new business wins. But just anecdotally, I suppose compared with when we last spoke at the full-year results, anything to call out in terms of progress on either new business or retention? Thanks.
Denis Machuel: Regarding Q2 yes definitely, the strikes in France have an impact. Still difficult to absolutely model everything which started in December. We’re still computing the numbers. What you have - in mind, what - we suffer not only from the strike in France but also from some other situations, the riots in Chile that have been also disturbing our business. We also suffer from situation in Hong Kong. Marc mentioned it earlier. We still have to evaluate the impact of Australian fires, not massive, but still can be a bit disruptive. So overall, what we estimate is the impact of all these elements together should be between 30 basis points and 50 basis points in Q2, which would make like, 10 basis - around 10 basis points for the full year in terms of topline impact, right. And with regard to the leap year, it actually does not bring an extra working day. I think it’s an extra weekend day that it brings. So, it was already factored in our targets and guidance, but we are not expecting that it will have a major impact on Q2. And therefore we were expecting when we gave our original guidance a weaker Q2. And so - we've got the large contract in healthcare exit in the North America. But we've also got the Yvelines contract which started last year in January and which has been supporting the growth and it will have a less of an impact in Q2. So Q2 will normally be softer than Q1. But that was - as we planned it this year so nothing surprising.
Marc Rolland: Yes absolutely, and if we talk about Benefit & Rewards, particularly in Brazil overall, so we - I must say, we used to bumpy roads in Brazil in Benefit & Rewards. So the situation is deteriorating. We've done that in the past these teams are continued. The team is working very hard in innovating new offers and deploying this old solution at full speed. It's true that the decrease in interest rates, the [indiscernible] went from 6.5% to 4.5% at the moment. So it has of course, a significant impact given the financial volumes that we manage. And the competitive landscape is being tougher than has been in the past. We've known, in the past, we've done some very tough moments and some, let's say, more calm moments. So it's a - yes it's a bit of a difficult period at the moment. I strongly believe that we can absolutely keep this guidance 5% to 10% organic growth in Benefit & Rewards. It's still absolutely a target that we have. So I’m confident and I think what we see - and we were really happy with the performance apart from Brazil. Latin America is solid. We have good performance in Mexico. We still have good numbers in Chile despite the events. And Europe is really solid. Asia is picking up also very well. India is good. So I think the rest of the business is really in a good shape. Now, for your third question, I would say as you said, we don't give - KPIs on quarterly announcement. But I must say that the retention is more or less in line with last year. Development is a bit better as at the end of December which is encouraging. And in terms of same site sales growth, we were quite happy. I think we have a good dynamic and in almost, I would say, almost every segment. And that’s - I think that's very encouraging in the way we are able to pass on inflation, we’re able to cross-sell services. So we're doing overall I think a good business on a daily - good operations in our business. Just one thing back to Benefits & Rewards - sorry, yes, definitely given where we are in Q1 and given the difficulties we have in Brazil, we are guiding of course more this year at the bottom end of the range of course. Sorry for this.
Operator: And your next question comes from James Ainley from Citigroup. Please go ahead.
James Ainley: A couple more questions please. Following on from that on BRS could you talk a bit more about the nature of the competitiveness in the Brazilian market? Maybe give us a sense of how the impact split between the impact of interest rates, underlying issues, volume, and the competitive nature of it in terms of contract losses? And then second question on food inflation. We've seen some indicators that food inflation is accelerating on the back of African swine flu and other issues. Can you talk about what you are seeing please on food inflation and are you still confident in your ability to pass that on to clients?
Marc Rolland: Right with regards to BRS, I think we don't split the impact of interest rates and the issue. What we know is definitely the competition is tougher probably also linked to the economic environment. There is more fight because on the last contract, the price pressure is very, very high. And the development in the small and medium companies is not as active as it has been given also that I would say the fact that some of the small and medium companies are not in necessary healthy situations so that's definitely - we have a decrease in issue volume. We believe that it's - we can turn this around with - as time goes on but at the moment yes, we’re struggling. In terms of food inflation yes it is relatively modest now. We see some price increase on protein in certain geographies linked also to the Chinese crisis on pork. But it's still relatively moderate. What we see on inflation is more an ongoing labor inflation in the U.S. where the hourly labor continue on the same trend on prior years. And there is a slight pickup of food inflation in the U.S. also. But currently I mean we are passing this well onto clients. In France, inflation is very moderate. And even in the U.K., I mean we have moderate inflation. Now, what's going to happen is that the national living wage increased by 6.2% that will actually obviously create a labor inflation. But we had anticipated a significant increase anyway. We were expecting this year a significant increase in national living wage in the U.K. So, last year we had also a significant inflation which we passed well to the clients. The fact that it is an official labor inflation, it makes it easier to pass it on to clients. So, we are not too worried about the labor inflation in the U.K.
James Ainley: Okay. Thank you very much.
Marc Rolland: And you know what Denis said on the same site sales growth. I mean, we have a very dynamic same site…
Denis Machuel: Yes.
Marc Rolland: Sales growth in - the beginning part of the year, better than last year and this is also the reflection of us passing well the inflation. It’s not just the inflation. We also have some volume increases, but with the health of the same-site sales growth shows that we are passing inflation well.
Operator: And your next question comes from the line of Jarrod Castle from UBS. Please go ahead.
Jarrod Castle: One, can you give any color on kind of how the acquisition pipeline is looking and kind of what the run rate do you think would be on external growth? Should we kind of be thinking around 1%. And then just secondly, kind of any color on the importance of kind of ESG now when you kind of come to market, if that's increased or decreased over the last 12 months? Thanks.
Marc Rolland: Yes on the M&A pipeline, we kept on the trend from last year. I mean, we clearly told the onsite services team to focus on developing a pipeline, selling more and so, less distraction from M&A. So, I mean there is very little or no activity on the onsite. We are also active on the disposal side. So the M&A team is more working on the disposal. And there is still some activity in PHS - with small activities. There is a pipeline of M&A in PHS, and it’s very moderate also in DRS, but there are some projects in DRS. So, do not expect a lot of M&A this year given the current pipeline. And the 1.3% scope change impact in Q1 would probably transform itself into a 0.4%, 0.5% impact for the full year at that stage with what we have in the pipeline today.
Denis Machuel: And regarding your question on ESG, Jarrod, definitely we see an increase focus and request from clients on those topics. It depends on the geographies. Definitely in Europe, it's coming stronger and stronger. In the U.S., it depends on the clients in the sectors. But definitely, and the first, the request for healthy food, local food, is more and more important. The questions around sustainability plastic, food waste, all this comes into play. And we have several very interesting - what would I say - I would say showcase prospects in the pipeline where we really would demonstrate the fact that we are leading the way on that. As you probably know, we are absolutely ahead of competition in the way we manage food waste to a massive scale. And of course, I mean it means meaningful for our clients, for our consumers, and for the economics of Sodexo. So definitely, we see that this is coming more and more. And I would say we are well-prepared. We have very strong assets and knowledge and practices on that. So I'm very positive on this.
Operator: And your next question comes from the line of Jaafar Mestari from BNP Paribas. Please go ahead.
Jaafar Mestari: It’s Jaafar from Exane BNP Paribas. Just on three questions basically first one on the?
Denis Machuel: Jaafar? We cannot hear you very well, sorry.
Jaafar Mestari: Hi apologies. Is that better?
Denis Machuel: Okay much better. Thank you.
Jaafar Mestari: Sorry so firstly on the various disruptions. So if I’m correct, the French strikes only started in December. The Australian bush fire is really in November-December. They started to really go out of control. So I’m not sure we should assume they were included in your guidance? So do you simply mean that's what you've seen so far in December-January for the French strikes is just not material enough to change the guidance? Second question on U.S. healthcare, I also just wanted to clarify whether minus 4.3% in Q1 was in line with your expectations when you say you remain prudent on full year 2020? Is it basically the same message what do you mean increasingly prudence? And lastly on product innovation, you keep sharing some of these new initiatives. Today you talked about Enjoy which you launched in Paris, Sogeres in France, Novae in Switzerland. The good eating companies in the U.K. so, I'm just wondering if North America is still basically the problematic region within the group? Could you maybe share a few more examples of that sort of product innovation and new offers in North America?
Marc Rolland: Yes on your first question so when we gave you guidance for the year, we were expecting to be a softer quarter not because of the events but because of the rhythm of losses and exits and the ramp up of Yvelines contract and so forth. So we knew Q2 will be softer, will be our softer quarter among the four quarters. What we just said is that the events will have some softness to it and the events really started mid-November. Hong Kong has been going on now for a few months. The strikes are all in Q2, and the bushfires are just starting. But I'm expecting very mild impacts from the bushfires in Australia. So, all of this is currently estimated at 30 basis points to 50 basis points. And this was not in our original target. But what was in our original targets was the fact that Q2 will be our softer quarter of the year.
Denis Machuel: And so, on your second question, yes, the Q1 in healthcare is in line with what we expected, nothing more. So, and as we as we get impacted by these contract exits and losses, this will continue for some months. Are we increasingly prudent? No. Are we prudent? Yes definitely. And it's not prudent to be prudent. It's because as I mentioned, we still have a significant pipeline of renewal coming up and there's always an uncertainty. We do - we are all hands on deck on retention. But there - are still some unknowns. I must say also that the healthcare sector in the U.S. is a troubled sector. We have - some of our clients are living through the financial difficulties it's not new, but it's quite live at the moment. And the pressure on price is very, very high. So, because we also put some - a very strong emphasis on margins, and particularly gross margins, we will not play at any price because we want to also ensure profitability. So at this moment, we are cautious both of course, on the retention part but also on ensuring that we have a reasonable profitability in, what we retain or in what we gain. So a combination of both makes me prudent as I've always been for the last year or so. Now on the third question you - I think you're guiding me into next publication, next to announcement to give you more insights into what we do in North America. Definitely North America I think we are experiencing some growth issues and some difficulty in healthcare and education as you know. But North America remains a big region of innovation. We are very advanced in digital, with lots of apps being deployed, being consumer-facing. As you as you might have heard, we have developed robots on campuses that has helped us increase our same-site sales growth, particularly for breakfast for students who didn't want to leave their bed to get their breakfast. We've developed the Future 50 recipes to put new vegetables and new foodstuff in our menus that are very innovative, protecting biodiversity. So this has been live in North America. We are so very active in food waste. So there are many offers that are live in North America. So of course, we’ve - in the last one or two announcements, we’ve talked a lot about things that were happening in India and in Europe. But - okay. I think it's a good point that you make, and we'll also communicate more into what we do in North America because it remains a country of innovation where we were - I'm very confident we are able to win very good contracts in the U.S., retain some very good contracts. We have the right offers. The main issue that we have in North America is the consistency, is to be good everywhere. That's the point it's not - we have the good - we have some very good offers and capabilities there.
Operator: [Operator Instructions] Your next question comes from the line of Richard Clarke from Bernstein. Please go ahead.
Richard Clarke: Three questions from me, if I may. And first one, you've mentioned a few times in the presentation the market for new businesses is quite tough. You mentioned that in relation to European healthcare, U.S. education. Just wondering why you expect that to be the case. You've said in the past, you expect a weaker macro can drive outsourcing. So, why are we not seeing that? Second question, there’s been quite a lot of press on industrial action at your site, the NHS Hospital was obviously the university where the democratic debate was. Is that it’s hitting the news more, or are we seeing any spike in industrial action, and what impact is that may be having on your labor cost? And then thirdly, you talked very sort of feasibly about the Japan World Cup, but there was a press report saying you’ve not bid for the French Rugby World Cup. So, what’s the current attitude to these big events and why you’re not bidding for that one going forward?
Denis Machuel: All right thanks, Richard and Happy New Year to you. I think the new business European healthcare overall is not the most dynamic at the moment. And the outsourcing and particularly if I take the case of France, there is a vast potential in the public sector. But they are very slow in turning it to outsourcing for many for sometimes for political reasons. NorAm education, I mean schools, we have a good dynamic in schools. Not such a good dynamic in universities. But it's linked to us. And I wouldn't say it's linked to the markets. As you say, we've had some weak - weaknesses in our teams, in our sales development, et cetera and it’s true also in Healthcare NorAm. So, NorAm Healthcare, NorAm education are still active market. There is a specificity in NorAm Healthcare linked to say the price competitiveness in-line with some of the difficult economic situations that some of our clients are living through. So, very specific things overall, the drive for outsourcing is still there. And we’re particularly of course still in North America. But when you look at the rest of the world it’s still and particularly the emerging market, it's massive. Now, the strikes yes we have two very different phenomenon in - on the strikes in North America and in France. France is linked to the pension - question the government is working on. It's very specific. The strike in North America in the place where we had - where the presidential debate had happened is also very, very specific. The trade unions with which we have an excellent relationship nationwide, some people locally have of course, I would say, taken the opportunity of that presidential debate to put pressure on the conditions in which they were working. We've settled a deal which is very local which is a good deal for both parties, and that's it. So, it was very, very - was very opportunistic coming from the local section of a national trade union. So again, very, very specific, on the Japan World Cup and the French World Cup, well I think the conditions. The contractual conditions and the contractual environment and the stakeholders around the Japan World Cup are very different from the overall ecosystem of the French World Cup. And so far, - we haven't bid for the French World Cup because we felt that the - we wouldn't be able to develop and have the space to develop relevant offers of hospitality offers for the French Rugby World Cup as we've done in the past. Again, it's very linked to the, what I would call the ecosystems around the French Rugby World Cup and the different stakeholders making the decisions.
Richard Clarke: So, on that last one, there's no change in attitude towards these large events. We can expect you to see you doing Olympics and World Cup still going forward?
Denis Machuel: Absolutely nothing linked to the French World Cup, but we decided not to bid for the Olympics in Rio for other reasons. We felt that again the transparency of those markets for Rio were not at the level that we - expected. So we decided not to bid. So there are some specificities per countries where that pushed us to decide not to play. But the overall, we still believe that those big events are great. As you know, we've done also the Pan-Am games in Lima that’s been a big success. We had a standing ovation from all the athletes at the end for our teams. So it's a great showcase of our know-how. But we are picky to ensure that we can do our business the way we want to do it and showcase our expertise as we wish to do.
Operator: There are currently no further question. Sir, please continue.
Denis Machuel: All right, so in that case, let me again wish you a very nice year for 2020 and looking forward to meeting you and exchanging with you in the H1 announcement. And in the meantime, we are all hands on deck and do our best to continue to grow and develop the business in Sodexo. Thank you for your trust.
Marc Rolland: Thank you.
Denis Machuel: Thank you. Bye-bye.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect. Speakers, please standby.